Operator: Good morning. Welcome to ChampionX Corporation's Third Quarter 2023 Earnings Conference Call. Your host for this morning's call is Byron Pope. I will now turn the call over to Mr. Pope. You may begin.
Byron Pope: Thank you. Good morning, everyone. With me today are Soma Somasundaram, President and CEO of ChampionX and Ken Fisher, our Executive Vice President and CFO. During today's call, Soma will share some of our company's highlights. Ken will then discuss our third quarter results and fourth quarter outlook before turning the call back to Soma for some summary thoughts. We will then open the call for Q&A. During today's call, we will be referring to the slides posted on our website. Let me remind all participants that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause material difference in our results from those projected in these statements. Therefore, I refer you to our last 10-K filing and our other SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our third quarter press release, which is available on our website. I will now turn the call over to Soma.
Soma Somasundaram: Thank you, Byron. Good morning, everyone. I would like to welcome our shareholders, employees and analysts to our third quarter 2023 earnings call. Thanks for joining us today. We demonstrated the benefits of our geographically diversified portfolio in the third quarter as we delivered adjusted EBITDA growth and margin expansion despite some near-term cross-currents in our short cycle U.S. land businesses. We once again delivered robust free cash flow generation and returned excess capital to our shareholders. I’m appreciative of all our employees for their focus and tireless dedication to delivering value to our customers day-in and day-out. On Slide number 4, we begin our earnings call with our corporate vision, purpose, and operating philosophy because we wake up every day committed to improving the lives of our customers, our employees, our shareholders, and our communities. On Slide number 5, we share one example of the many types of ChampionX innovation, which emerged from being relentless advocates for our customers and delivering technology with impact. Our SOOFIE continuous emission monitoring system, which was designed from the ground up to be an effective and accessible solution for our continuous monitoring of onsite methane emission detection. And this case study illustrates how our SOOFIE system helped one of our customers detect and avoid a catastrophic leak at one of its production facilities in real-time, resulting in environmental and financial savings. Our AURA optical gas imaging, or OGI camera is a natural complement to our SOOFIE system and is designed to help our customers meet current and future emissions monitoring needs by accurately detecting and documenting even small methane leaks. Now turning to third quarter performance, our third quarter revenue increased 1% sequentially as strong international growth in our Production Chemical Technologies and Production & Automation Technologies businesses were largely offset by lower activity in U.S. land, driven by lower drilling and completions activity. In Q3 U.S. rigs declined almost 10% sequentially and U.S. completions activity declined over 9% sequentially impacting revenues in our drilling technologies and PAT segments. Our digital revenues increased 17% year-over-year. We remain highly encouraged by the continued strong adoption of our fit-for-purpose digital solutions, including our emissions management technologies that drive tangible productivity and sustainability benefits for our customers. Our continuous emissions monitoring technology installations continue to grow along with the recurring revenues. Today, more than 60 customers use our SOOFIE continuous emissions monitoring technology. We continue to deliver strong EBITDA performance. During the first nine months of 2023, our adjusted EBITDA grew 28% year-over-year, and our adjusted EBITDA margin expanded 437 basis points compared to the first nine months of 2022. Ken will take you through the details of our third quarter financial results shortly, but let me first touch on three key business highlights, which are shown on Slide number 6. First, EBITDA margin expansion, despite experiencing $7 million of foreign exchange losses related to Argentina currency devaluation, we delivered an adjusted EBITDA margin of 20.2% in the third quarter, which represents our six consecutive quarter of sequential adjusted EBITDA margin improvements. Based on the midpoint of our Q4 guidance for full year 2023, we will deliver an adjusted EBITDA margin expansion of 370 basis points compared to 2022. We remain confident in our ability to further expand our adjusted EBITDA margin as we step through 2024. Second, free cash flow. We delivered another strong free cash flow quarter having generated free cash flow of $115 million, which represented 60% of adjusted EBITDA. This further demonstrates the best-in-class free cash flow generating capability of a capitalized portfolio of businesses, and illustrates our high degree of confidence in converting at least 50% of EBITDA to free cash flow in 2023 and delivering between 50% to 60% conversion of EBITDA to free cash flow through the cycle. We expect our free cash flow to continue to grow in the coming years driven by EBITDA growth and margin expansion. Third, returning capital to shareholders. Our disciplined capital allocation framework is designed to create value for our shareholders. And in the third quarter, we once again delivered on our commitment to return excess cash to our shareholders. In the third quarter, between our regular cash dividend of $17 million and $68 million of share repurchases, we returned 74% of our free cash flow to shareholders. Since we began our capital return program in the second quarter of 2022, we have returned $434 million of capital to shareholders through dividends and stock repurchases. This represents 66% of the free cash flow generated during the same period. We expect our capital returns to grow as we grow over free cash flow in the coming years, and we remain committed to return at least 60% of free cash flow to our shareholders this year and through the cycle. Let me now turn the call over to Ken to discuss our third quarter results and our fourth quarter outlook.
Ken Fisher: Thank you, Soma. Good morning and thank you for joining us today. I will be commenting on adjusted EBITDA for sequential and year-over-year comparison. We believe this metric best reflects the business performance of continuing operations. Our third quarter 2023 revenue was $940 million, up 1% versus our second quarter 2023 revenues, while 8% lower than third quarter of 2022. On a geographic basis, sequentially North America and international revenues were up 1% and 2%, respectively. Drilling down, overall U.S. revenues were flat quarter-over-quarter with PCT up 6% and PAT and PDC down 3% and 7% respectively. Meanwhile, the rest of the world revenues were up 3% sequentially driven by solid growth in PCT and PAT. Year-over-year North American revenues declined 2%, while international revenues were 17% lower. In the third quarter, our largest business Production Chemical Technologies generated solid sequential revenue growth of 5% with both North America and international contributing positively. With declining U.S. rig count and lower new well complete and activities, our shorter cycle U.S. land businesses were impacted in the quarter with production and automation technology revenues up slightly at 1% and drilling technologies down 4% versus the second quarter of 2023. As previously communicated sales to Ecolab under the cross sales agreement ended with the passing of the third anniversary of our merger date. As such, any sales to Ecolab are now reported in the Production Chemical Technologies segment and no longer reported in corporate and other. Third quarter GAAP net income for the company was $78 million or $0.39 per diluted share versus $96 million in the second quarter and $23 million in the third quarter of 2022. As seen on Slide 10, ChampionX consolidated adjusted EBITDA in the third quarter was $190 million up 2% versus the previous quarter, and a 14% increase year-over-year. Third quarter adjusted EBITDA included the impact of approximately $7 million of foreign exchange loss related to devaluation of our peso exposure in Argentina during the period. In the third quarter, ChampionX delivered a strong consolidated adjusted EBITDA margin of 20.2%. This was up seven points sequentially and up 391 basis points over the third quarter of 2022. Our third quarter free cash flow of $115 million reflected strong cash flow from operations and our continued focus on working capital management. The $115 million represented 60% conversion of free cash flow from adjusted EBITDA. Cash from operating activities was $163 million and capital investment was $48 million net of proceeds from asset sales. Production Chemical Technologies generated third quarter revenue of $604 million, up 5% from the second quarter and 6% lower year-over-year. Sales were strong in North America and internationally where respective revenues were up 5% and 6% sequentially. Segment adjusted EBITDA was $125 million, up 7% sequentially and 22% higher than the third quarter of 2022. The third quarter segment adjusted EBITDA was adversely impacted by the aforementioned $7 million Argentina foreign exchange loss during the period. Sequentially, we saw a positive impact from higher volumes and productivity projects. Volume growth increased selling price and productivity projects drove the strong year-over-year improvement. Segment adjusted EBITDA margin was 20.7%, up 37 basis points sequentially and up 472 basis points from the prior years’ period, driven again by the higher volume selling prices and the productivity initiative previously noted. Production and Automation Technologies third quarter segment revenue of $256 million, increased 1% sequentially. Year-over-year PAT revenue was up 3%. Geographically, international revenue increased 9% sequentially, while North America revenue was down 1%. Digital revenues, which can exhibit some lumpiness quarter-to-quarter were down 4% sequentially while increasing 17% year-over-year. We continue to see increased customer focus on implementing digital and emissions technologies to reduce emissions and drive operational and cost improvements. We remain very excited about expected future revenue growth from digital, including our emissions offering. PAT third quarter segment adjusted EBITDA was $59 million, lower 2% sequentially, while up 14% year-over-year. Segment adjusted EBITDA margin was 23.2%, down 73 basis points versus the second quarter and up 213 basis points from the prior year due to higher volumes and selling prices. Drilling Technologies segment revenue was $55 million in the third quarter, down 4% sequentially and down 10% year-over-year with both declines driven by lower U.S. land rig count activity. Drilling Technologies delivered segment adjusted EBITDA of $14 million during the third quarter flat sequentially and down $3 million compared to the third quarter of 2022. Segment adjusted EBITDA margin was 25.1% in the quarter flat sequentially. Reservoir Chemical Technologies revenue for the third quarter was $25 million, up 5% sequentially and a 29% decrease year-over-year. As previously discussed, the year-over-year revenue decline was driven by the exit of certain low margin RCT product lines last year. This exit resulted in lower revenues, but a significant improvement in the margin profile of this business. The segment posted adjusted EBITDA of $4 million during the third quarter. Flat was second quarter and up $1.5 million versus the corresponding prior year period. Segment adjusted EBITDA margin was 16.6% in the quarter, a 110 basis points sequential decline. Year-over-year, the segment margin increased 914 basis points driven by the product line exit and related restructuring actions. Moving to our balance sheet, as shown on Slide 11, we again ended the third quarter in a very strong position with liquidity of $954 million, including $285 million of cash on hand and our available revolver capacity. At September 30th, our net leverage ratio was 0.4x net debt to trailing 12-month adjusted EBITDA. In alignment with our capital allocation framework, we remained committed to the return of surplus capital to our shareholders. During the third quarter, we returned approximately 74% of quarterly free cash flow to shareholders, including $17 million in regular quarterly dividends and $68 million of share repurchases. Year-to-date, we have returned 76% of free cash flow to shareholders. Moving forward, expect us to continue our disciplined capital allocation process and our focus on delivery of operating and free cash flow, along with continued improvement in working capital management. We will also focus on maintaining our robust liquidity level and a strong financial position, enabled to continue returning at least 60% of free cash flow to shareholders. As we continue to drive disciplined capital allocation and continuous improvement in productivity, as you can see on Slide 12, we continue to improve our return on invested capital or ROIC. We are making good progress toward our targeted 20% plus ROIC. Our trailing 12-month ROIC has improved to 17%, up approximately 400 basis points over the 2022 full-year actual rate. Now turning to Slide 13. In our forward outlook for fourth quarter, we expect revenue in the range of $930 million to $970 million. The projected fourth quarter revenue sequential change is primarily driven by continued positive momentum in our international businesses, offset by expected seasonal slowdowns in our North American businesses as they move into the year-end holidays. We expect our drilling technology business to experience a sequential revenue decline similar to that of the fourth quarter of 2022, as some of our customers act to manage their working capital and free cash flow into year-end. For adjusted EBITDA, we expect a range of $187 million to $197 million, which at the midpoint represents a 7% increase over the fourth quarter of 2022. At the midpoint, this represents an approximate 200 basis points improvement year-over-year in the company's adjusted EBITDA margin rate. Please note for clarity, this fourth quarter adjusted EBITDA guidance does not anticipate any further significant devaluation in the Argentine peso during the period. Moving forward, we remain confident in our 50% to 60% free cash flow to adjusted EBITDA conversion ratio guidance through the cycle, and we expect a free cash flow ratio of at least 50% for fourth quarter and the full year of 2023. Thank you, and now back to Soma.
Soma Somasundaram: Thank you, Ken. Before we open the call to questions, let me share a few thoughts with you. As a leading global provider of production optimization solutions for the energy industry, we are particularly well positioned to help our upstream and midstream customers, maximize the value of their producing and operating assets in a sustainable and cost-effective way. Despite the short-term softness we are experiencing in our short-cycle U.S. land businesses, we expect U.S. activity to start growing in early 2024 as customer budgets reset. We remain confident in the favorable demand tailwind for our businesses in 2024 and beyond. We are laser-focused on delivering solid bottom-line growth, adjusted EBITDA margin expansion, and strong cash generation, and we remain fully committed to creating value for our shareholders through our disciplined capital allocation framework with crystal-clear priorities for capital deployment, which includes high return investment and returning excess cash to our shareholders. With that, I would like to thank all of our 7,300 ChampionX employees around the world for their tireless and inspiring commitment to our purpose of improving the lives of our customers, our employees, our shareholders, and our communities. I am honored and humbled to lead such a purpose-driven team. With that, I would like to open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Stephen Gengaro from Stifel. Please go ahead.
Stephen Gengaro: Thanks, and good morning, everybody. Can you help us maybe understand your fourth quarter expectations a bit? I'm sort of thinking about what's normally a margin improvement in production chemicals, and I understand the North American softness in some of the other areas. But can you kind of help us understand a little bit, maybe on a segment basis the margin progression you're looking at?
Soma Somasundaram: Yes. Good morning, Stephen. So, when you look at the Q3 to Q4 margin progression, we expect PCT, given the resilience of PCT and seasonal improvement in the international business in PCT. We expect PCT margins to perform well in Q4, compared to Q3. You should see, it had a strong performance in Q3.You should see similar performance are even slightly better in Q4. And I think, Stephen, this will be an important time also to talk about this Argentina devaluation, and so I'll – as I finish my comment, I'll ask Ken to talk about that, because that impacted the Q3 margin for us. When it comes to PAT and drilling technologies, when you look at PAT, we do expect sequentially the business to be softer in U.S. land. And we saw as we exited September. So when we entered Q3 and how we exited September, we could see in September the weakness getting more pronounced in the U.S. land activity in September. And so we do expect that as we go into the Q4, the normal seasonal slowdown will be fully present. We saw some signs of that already starting to happen in September. And it is also the mix in PAT, as you know the completion side is primarily – ESP is driven more by the completion side, so tends to be a higher margin in the PAT side. So that along with some slowdown in the hardware digital purchases in Q4, I think, so that mix will impact PAT. So which means we will see Q3 to Q4 PAT margin to be somewhat down. And then when you look at the DT, DT is where we are going to see bigger impact. And this is going to be very similar to, because the conversations with customers are very similar to the type of conversation that happened last year. So it's very clear that particularly our drilling for the – customers of drilling technologies are very – starting to get very focused on Q4 working capital management. And we have already received calls to push out deliveries and those type of conversations are already happening. So that's why we expect our drilling technologies business to be impacted. If it is similar to last year, you can imagine it could be sequentially down as much as 11%, 12%. So as that business decrements higher so you should expect the drilling technologies business to be down. Now, having said all this, Stephen, I would say, we see a lot of this type of seasonal slowdown and customers managing working capital towards Q4 to be very temporary issues. If you look at the quality of the businesses are still very strong, we have still delivered year-over-year strong exit margin improvement, and you will still see strong cash generation, you will still see strong capital returns. So these, we see these as temporary U.S. land weaknesses which we are experiencing, which started towards the end of the third quarter and then now we see it playing out in the fourth quarter. So we expect 2024 – as we enter into early 2024, we expect the budgets to reset and we are confident it will be another year of positive growth in U.S. land as well as globally. So with that, I do want Ken to talk about Argentina devaluation, just to, because since it impacted our Q3 margin. So Ken?
Ken Fisher: Yes. Hi, Stephen, the PCT business historically has done business in Argentina profitably. We have roughly about $100 million in annual sales there. We had some questions around the devaluation impacts, so I wanted to be clear about that. It's not really a revenue issue in that we're U.S. dollar functional accounting there and we have – many contracts are essentially indexed to the dollar so that when we invoice, we invoice at the current rate then. But the issue was that historically we've been, as primarily a product supplier, we've been able to repatriate monies to the U.S. out of Argentina regularly and so it had never been an issue before, but late last year and then through this year, we've seen the government make a series of changes to both regulation and practice that's delayed repayments to us and delayed our ability to repatriate. And so we had built up a balance with the peso exposure in the country that then right after the election, they changed the exchange rate and we were hit with the loss that we noted. So in the meantime, we've been working to mitigate that through trying to minimize that balance as much as possible. We have curtailed a little business and then we're negotiating and, in fact have some customers agree to start to pay us outside of the country in U.S. dollars. So we'll continue to work that exposure down here over the next couple of quarters. As of this week, it's about a $15 million exposure, so should there be another significant devaluation, we would have an issue but we're working hard to minimize it.
Soma Somasundaram: And I think, Stephen, as you know, some of the companies have approached us to do a blue chip swap, which results in a major write down.
Ken Fisher: Yes. Maybe that's a good point. A lot of the peers in the group are primarily providing services, so historically they were less able to repatriate, and so they built even bigger balances. And they accessed a parallel market called the blue chip swap and took big losses. They excluded those losses from their EBITDA. We treat FX today as part of normal adjusted EBITDA where you get some small gains and losses each period, but we don't exclude it. But some of the peers took some pretty substantial write-downs on the blue-chip swaps at late last year and early this year because they built up even more significant balances. Because we're a product provider, we are able to repatriate normally the government actions recently have been adverse and not very appreciated, I guess, I'd say. So hopefully that helps give some color.
Stephen Gengaro: Yes, that does. Thank you. Just one quick follow-up for me, and that is when I think about the sequential PCT margin performance in 4Q, is that after taking into account, the seven million, i.e. a cleaner number being flat to maybe slightly up in the fourth quarter?
Ken Fisher: Yeah, so I think the PCT margin in Q4 that's not contemplate another devaluation and under that scenario, it should be closer to the 21%.
Stephen Gengaro: Got you. Great. Thank you for the details.
Ken Fisher: Thanks, Stephen.
Operator: Your next question comes from the line of Marc Bianchi from TD Cowen. Please go ahead.
Marc Bianchi: Hi, thanks. I wanted to ask another one on this Argentina situation, because it seems like if you're going to have 21% margins here in PCT in fourth quarter, there really isn't any operating leverage in the business. Because you're just sort of recapturing the absence of the $7 million hit in the third quarter. Are there some other cross-currents that are worth pointing out? Or maybe I'm not reading that right?
Soma Somasundaram: No, I don't think there's anything significant. I mean, there's always some mixed issues that happens within the businesses. So outside of that, I would say, Marc, there's nothing of – other than the normal variations due to mix, there is no major any other issues.
Marc Bianchi: Okay. And then Soma, you had mentioned an expectation for growth in entering 2024, but I know typically there's some seasonality that occurs in the fourth – in the first quarter with PCT falling off. Can you just sort of walk us through the typical progression and if you have any particular insight about early 2024?
Soma Somasundaram: Yes, Marc, great observation because we always see this Q4 to Q1 seasonality, and in the past, we have provided some color around historically how that has worked in our PCT business. So if you look at over the last seven or eight years, the PCT business on an average or at a mean, Q4 to Q1 revenues have declined about 5%, that is a pure seasonality, and some quarters it's much worse. Some quarters it's better depending on how Q4 is. So there will be a Q4 to Q1 decline in our PCT revenue, which is seasonally driven. And historically, like I said, it could be 5%. And then but when you look at the DT, Drilling Technologies, we do expect the Drilling Technologies business to rebound in Q1. And again, we have shown historically when Q4 is tend to be the type of Q4, we are expecting Q1 will rebound and typically in some years, it's a sharper rebound. But we do expect Q1 to be a good rebound in our Drilling Technologies business. We expect PAT business Q4 to Q1 to be sequentially better as well because the budgets typically reset in the early part of Q1. So normally what we'll see in the PAT businesses, it'll start a little slow in January, but as the budget starts getting into place in February, we will exit the Q1 quarter, which are much stronger run rate than when we entered Q1. So in summary, we'll expect PCT to be seasonally down Q4 to Q1, we expect PAT to be Q4 to Q1 up. We expect a DT to be up Q4 to Q1. And then as we look in the quarter, as we look in the rest of the year in 2024, Q1 tends to be the lower quarter and Q2, Q3 tends to sequentially improve from there. And Q4 as you know, Marc that like we are seeing this year, sometimes we run into these type of issues, but that's too early to predict what Q4 of 2024 may look like. But we are confident Q4 to Q1, there'll be growth and we'll see growth Q1 to Q2 and Q2 to Q3.
Marc Bianchi: Great. That's very helpful summary. Thank you.
Soma Somasundaram: Thanks, Marc.
Operator: Your next question comes from the line of David Anderson from Barclays. Please go ahead.
David Anderson: Hey, good morning, Soma. I have a few questions around the North America side of PCT. So the U.S. rig count contracted 20% this year, but if I look on the EIA numbers, onshore production appears to actually increase at least through July. Now you said lower PCT revenue is through the rig count falling, but I thought there was a little bit of a longer term – longer cycle relationship there. Isn't production related driver here, am I missing something in terms of that side? I'm surprised it was that much of a relationship.
Soma Somasundaram: Yes, Dave, I think let me make sure, we clarify. I think in the slide deck, we had a slide which showed the sequential by segment, U.S. versus non-U.S. So if you look at that, the PCT business actually grew sequentially 6%, where we had the real issues where in PAT and DT in the U.S. land. So this goes to show the long-term relationship and the resilience of our PCT business. So PCT U.S. business grew 6% Q2 to Q3.
David Anderson: Okay, so that held up there better. So it's the PAT side and the relationship there is the completions with the ESPs. Okay, that makes sense. So if we think about kind of longer term drivers in NAM for PCT, so U.S. onshore is sort of in manufacturing mode. We're not going to see a whole lot of production growth over the next several years. So how should we think about the drivers at DAM for PCT from here? Is there an underlying kind of increasing chemicals intensity story here? How should we think about kind of growth in this business relative to production over time?
Soma Somasundaram: Yes, Dave, I think that's exactly right. And even if you look at our continued growth in the U.S. business in PCT, it's a combination of two things. One is definitely the growth in the intensity. And then the second aspect is Gulf of Mexico continues to grow as well. If you look at our offshore growth, Q2 to Q3, we grew 12% sequentially in the offshore markets globally, and Gulf of Mexico was an important part of that as well. So as we go into 2024, we continue to expect the intensity improvements as well as the Gulf of Mexico growth as well.
David Anderson: So even in a flat – let's just say hypothetically U.S. onshore production is flat, should PCT still continue to grow with higher basically chemicals to production over time? Is that a trend you're expecting to see? Okay. And then secondly, and then sticking on U.S. onshore, E&P consolidation is obviously a big theme with Exxon and Chevron. Can you talk about what that means to your business? And I guess I'm curious just how fragmented – we know the offshore business is sort of very moti around that, but how about U.S. onshore, is that more fragmented? And does this potentially create more market share opportunity for you onshore?
Soma Somasundaram: Yeah. I think when you look at this consolidation, so the positive aspect for us is, we have stronger relationships as you know, with the IOCs. And you saw with Exxon, we have – we won the supplier of the year award. So as the consolidation is driven by the IOCs, our presence and our long-term relationship with our IOCs should help us continue to maintain and gain positions in the – in this consolidation. Now the thing we have to really be watching for is to make sure, obviously, as they consolidate the NPs will also look for efficiencies and savings along the way. So – but we do feel given our long-term relationship and given the global way we support our customers in this areas, I think we will see it’ll be a net positive for us.
David Anderson: Okay. So aside from any U.S. onshore production growth, the two main drivers at E&P are going to be increasing revenue – sorry, increasing chemical intensity and market share on top of kind of any other inherent growth. So, okay, that makes a lot of sense. All right, thank you very much, Soma.
Soma Somasundaram: Thanks, Steve.
Operator: Your next question comes from the line of Scott Gruber from Citigroup. Please go ahead.
Scott Gruber: Yes, good morning.
Soma Somasundaram: Good morning, Scott.
Scott Gruber: So, Soma, it does look like your EBITDA margin is going to stagnate here in 4Q given this North American weakness. But if I heard you correctly, I think you mentioned margin expansion in 2024. Can you walk through some of the major drivers for continued margin expansion? And do you think getting back to that that 21% level later next year is a realistic goal? Or do you think you’d do better?
Soma Somasundaram: Yes. Scott if you look at for the last two, three years, we have consistently expanded margins every year. And clearly there is a bit of a calendarization in our margin performances quarter-to-quarter. Given Q1 tends to be a softer quarter, it tends – Q4 to Q1, typically we’ll see a bit of a margin drop, and then we will pick up our expansion efforts from there. So when we look at 2023 or when you look at 2022 and versus 2023 at the midpoint of our guidance, we will expand margins close to 300 – a little over 300 basis points, right? So you’ll see as we go into 2023, continued expansion of that. And that will be driven by a couple of things. Number one, we do expect a positive growth for full year in 2024. So that incremental will help. The second is our continued productivity efforts and continued growth in higher margin businesses, i.e., our Digital business and our Emissions business. So we do think that the mix of our businesses in the growth will also help. So to answer your question, we do expect continued margin expansion in 2024.
Scott Gruber: Got it. And looking specifically at drilling, that business used to post margins closer to 30%, it was closer to 25%. And I realized it’s going to take a hit here in 4Q. But just thinking about the medium-term, is 25% the new normal? Or should we be expecting something better than that high 20s, 30%? Where can that business get back to?
Soma Somasundaram: Yes, Scott, it’s a great question. I think there is a structural element around the continued drilling efficiencies that are driving the volume growth challenges in that business over a period of time. So, the business is definitely at 25% business. That’s no question in our mind. Can it get to a closer to 30% margin business is going to very much depend on volume. But what I would say is it’s definitely a 25% margin business at the state.
Scott Gruber: Got you. Appreciate the color.
Soma Somasundaram: It will take a hit in Q4 as I mentioned.
Scott Gruber: Right. Got it. Thank you so much.
Soma Somasundaram: Thanks, Scott.
Operator: Your next question comes from the line of Saurabh Pant from Bank of America. Please go ahead. And his line has just got disconnected. Moving over to the next question from Ati Modak from Goldman Sachs. Please go ahead.
Ati Modak: Hi, good morning, team. Can you mention that the Argentina revenue exposure doesn’t really exist, it’s more on the margins. And it sounds like there were activity expectations that drove the delta versus expectations for 3Q around guidance, especially some – but I’m wondering if there were any other things, maybe destocking in drilling technologies, any other factors you can provide any color on, and how do you see those going forward?
Soma Somasundaram: Yes. If you look at our shortfall to – first of all, we are disappointed with it, right? So our shortfall to our own midpoint guidance is about $35 million in top line, right? And I would say Ati, half of that is related to the U.S. land and particularly in PAT. Again, this is with respect to our expectation and PAT and drilling technologies. So roughly $16 million, $17 million of that $35 million is – shortfall is in U.S. land, in PAT, as well as in drilling technologies. The remaining $16 million, $17 million is a combination of two things. One is a shortfall in Argentina, and that is primarily driven by a delay in import certifications. And I’ll ask Ken to comment on that. Again, this is all related to this devaluation issue. And then the remaining – another country, which where we had a shortfall compared to expectation is in Mexico. So Argentina and Mexico together contributed another about $15 million, $16 million to the shortfall. So there are three primary areas where we had shortfall to our expectation U.S. land, Argentina and Mexico.
Ken Fisher: Yes. Argentina was about $5 million of that revenue. And what drove that was we saw that government slow down or stop giving import certificates during the course of the quarter. And we weren’t the only ones that experienced that. We actually engaged with the U.S. Commerce Department and heard that a lot of imports were being similarly treated across a lot of sectors. And then the Commerce guys have actually been helpful in trying to get us those certificates and they’ve started to flow a little bit better recently.
Ati Modak: Got it. Thank you. Just as a follow-up, is there a way for us to gauge what the segment exposure is in Argentina? Is it evenly spread out? Is there a higher exposure in any…
Ken Fisher: It’s essentially – it’s all PCT.
Soma Somasundaram: Largely PCT.
Ken Fisher: There’s not a lot of PAT exposure there.
Ati Modak: Got it. And the other question I had is, you mentioned free cash flow growth over time. A lot of that from EBITDA growth and some margin expansion. I’m just wondering if there is any kind of color you can provide. You have a bunch of productivity projects ongoing. Is that the main driver? Are there other operating leverage drivers here as you think about hitting that 21% target and beyond?
Soma Somasundaram: Yes. I think the 21% target for us is, as I mentioned, is a combination of productivity and incremental revenue growth. That’s what I would say. And I think the free cash flow conversion of that 50% to 60% for us is very much intact. And I think you will see our business continues to be a capital light business and will continue to generate that 50% to 60% free cash flow conversion.
Ati Modak: Great. Thank you. I’ll turn it over.
Soma Somasundaram: Thanks, Ati.
Operator: Your next question comes from the line of Saurabh Pant from Bank of America. Please go ahead.
Saurabh Pant: Hi. Good morning, Soma, Ken. I’m sorry the line got disconnected for some reason, right when you called my name. Sorry about that, but thanks for getting me back on.
Soma Somasundaram: Good morning, Saurabh. Please go ahead.
Saurabh Pant: Yes. Soma, I think, basically I’m thinking of how should we think about the level setting expectation for revenue growth from a 2024 perspective? Because North America has, like you said, has some cross current activity would be improving on a leading edge basis. But on a full year basis, maybe you can expand on that how do you see North America behaving in 2024 and then international and offshore should be doing well, right? So how should we think about top line as a whole for 2024 versus 2023?
Soma Somasundaram: Yes. Saurabh, let me start by saying, we do expect a positive growth both in North America as well as internationally in 2024. Now, given what we have seen in terms of the Q3 slowdown and now the Q4 slowdown, the seasonal slowdown, I think the base in Q3, particularly for U.S. land, that’s kind of lowered a bit, right, from what we had assumed. So as we go into Q4, like I said, I think we will see in, as we go into next year, you will see in North America the Q1 revenue to be sequentially better Q4 to Q1. And then it’ll progressively get better into Q2 and Q3. So for me, it’s a – again, Q4 of next year is too early to predict right now. But I do expect a positive growth in North America. So what we are seeing right now is a temporary situation in that respect, nothing in our customer conversations is telling us that 2024 is going to be a – is not going to be a growth year in North America.
Saurabh Pant: Okay, perfect. No, Soma that’s helpful. And then just one quick follow-up on the PAT side of things, because there’s obviously a seasonal element, year-end slow down, budget issues, all of that stuff. But I’m just thinking, is there also an element and how important is it? If you are thinking about the lag effect of lower D&C activity, right, lower completion activity on production, there’s obviously a little bit of a lag especially on the ESP side of things. How should we think about just that lag effect versus seasonality? Because that would tell us how quickly things recover in 2024 that’s the reason I’m asking?
Soma Somasundaram: Yes. Saurabh. I think, intellectually and logically, we definitely we see there should be a lag effect, right? But we have tried correlating this multiple times, whether it is a three-month lag, six-month lag, nine-month lag and we have tried doing that. And it’s a little harder to pin down, how much is the lag effect because of couple of things. Number one is, as you know, the ESP which is the primary business that tend to get impacted by completion slowdown. Customers tends to run ESPs two times and three times into the same well nowadays. So sometimes it’s very hard to kind of it’s not one-to-one. So it’s always been a bit harder to really quantify exactly how the lag effect works. But I do agree with you that there is a lag effect. And – but it’s just hard to quantify and predict. And we saw that in, because as we got into September, we clearly could see our ESP installed rate starting, where how we entered the quarter in Q3 and how we exited the quarter in Q3 was lower.
Saurabh Pant: Okay. Okay. Okay. No, Soma I know you’ve talked about the secondary tertiary [ph] installations in the past, so that obviously offsets it to some extent. But no, that’s helpful. Okay, Soma, thank you. I’ll turn it back.
Soma Somasundaram: Sure, Saurabh. Thank you.
Operator: Your next question comes from the line of Doug Becker from Capital One. Please go ahead.
Doug Becker: Thank you. Soma, continuing with PAT, the company received top marks in the Kimberlite Artificial Lift Survey. But the growth in PAT has been a little bit slower than I would’ve thought, even factoring in the U.S. activity dip, given that some others have talked and pointed to lift as an area of strength. So really just wanted to get your thoughts on the competitive landscape within the lift and if there’s any market share shifts taking place there?
Soma Somasundaram: Yes. So I think Doug, the – in – from a competitive landscape standpoint, I think if you look at the market kind of differentiated in – if you look at the two major forms of lift – in artificial lift, which is the ESP, and the rod lift. So when you look at the ESP market landscape, I think our competitive position remains strong there. And we feel the activity is the major driver behind any type of slowdown we see. Now, when it comes to rod lift, there’s a lot of players in rod lift, especially when you go to the lower end of it, particularly in components and repair shops and so on and so forth. So sometimes in rod lift, you will see some pricing pressures and issues in the fringes, you will see. But the way we focus on a rod lift is in terms of the type of value we provide. So when I look at our own data, I don’t see a lot of market share loss per se. There are some in the fringes. But I wouldn’t call that as the biggest driver for the – any type of slowdown in growth. It’s largely an activity driven. And we have today in the U.S. as you know, Doug, we have a pretty good market share position in all forms of lift. In some of the lift categories, we are the leading share position. But if you look at across all lift positions, we have really good market share positions. So I think I would say that the growth issue which we are experiencing in the second half year, it’s largely an activity issue.
Doug Becker: That’s helpful context. One last one. Just curious if there’s been any nuance in or change to the revenue CAGR you talked about from 21 to 25 at the Analyst Day high single digits, still plenty of time, but wondering if this year has maybe shaded or maybe the high end less likely?
Soma Somasundaram: Yes. So Doug, if you look at 2023, if we normalize for the various elements such as Russia exit the cross sales exit – terminating as well as the some of the res – product line exit we did as part of our RCT restructuring, if we normalize for all of that. And at the midpoint of our guidance, it’s somewhere in the 4% in 2023, is up 4% or slightly better. So when you look at that, obviously, when we gave our high single digit CAGR, we weren’t expecting the second half this level of activity weakness than what we expected, right? So, which makes it harder, right, in other, because if we are starting with a lower year than we anticipated. So it makes it harder. But we are not giving up on that. But I will acknowledge that it makes it harder given that we start with a 4% as the first year.
Doug Becker: Yes. Makes sense. Thank you, Soma.
Soma Somasundaram: Thanks, Doug.
Operator: There are no further questions at this time. I’d now like to turn the call back over to Mr. Soma for any closing remarks.
Soma Somasundaram: Well, thanks everyone for joining today’s call. And we look forward to talking to you in our next quarter’s earnings call. Thank you and have a great day.
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.